Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to the RSI Second Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. Please note, that this conference call is being recorded today, August 12, 2021. I would now turn the call over to Lauren Seiler, Associate Vice President of Investor Relations and Development.
Lauren Seiler: Thank you, operator and good afternoon. By now, everyone should have access to our second quarter 2021 earnings release. It can be found under the heading, Financials of quarterly results in the Investors section of the RSI website at rushstreetinteractive.com. Some of our comments today will be Forward-Looking Statements within the meaning of the Federal Securities laws. Forward-looking statements are not statements of historical facts and are usually identified by the use of words such as will, expect, should or other similar phrases, and are subject to numerous risks and uncertainties that could cause actual results to differ materially from what we expect. We assume no responsibility for updating any forward-looking statements. Therefore, you should exercise caution in interpreting and relying on them. We refer you to our SEC filings for more detailed discussion of the risks that could impact our future operating results and financial condition. During the call, we will discuss our non-GAAP measures, which we believe can be useful in evaluating the Company's operating performance. These measures should not be considered in isolation or as a substitute for our financial results prepared in accordance with GAAP. A reconciliation of these measures to the most directly comparable GAAP measures are available in our second quarter 2021 earnings release, which is available in the investors section of the RSI website at rushstreetinteractive.com. With me on the call today we have Greg Carlin, Vice Chairman; Richard Schwartz, CEO; and Kyle Sauers, Chief Financial Officer. We will first provide an opening remarks, and then open the call to questions. With that I will turn the call over to Greg.
Greg Carlin: Thanks Lauren and good afternoon, everyone. Thank you for joining the call today. Before we get into our quarterly results, I'm excited to announce that RSI has named Richard Schwartz, who co founded the business with me and Neil as CEO. I will become Vice Chairman of the Board and I will continue in my role as CEO of Rush Street Gaming, which as most of you know is a separately owned private company. It was obvious to me back in 2012, when we started RSI that the U.S. casino industry would expand to the digital channel. And I'm very proud of all that we have accomplished during my tenure as CEO. Since we launched our first online casino in New Jersey, RSI has been at the forefront of the online gaming industry. Richard has been a key partner to me and Neil in building RSI from the very beginning. His extensive knowledge of online gaming space and his understanding of the customer has been integral in establishing RSI as a leader in our industry. Now that we are operating in 11 jurisdictions, and we have successfully transitioned to a public company, the time is right for Richard to become CEO and to assume day-to-day responsibilities for executing RSI strategy. As the second largest shareholder and vice chairman of the board, I'm confident there is no one better suited to execute RSI's business plan. I'm excited to continue working with Richard and our highly talented management team to maintain our industry leading position and to drive value for all of our shareholders. With that, I will turn the call over to Richard to discuss our second quarter results.
Richard Schwartz: Thank you, Greg. Good afternoon, everyone. To kick things off, I would like to acknowledge Greg's partnership and leadership in establishing RSI as an industry leader. Together over nearly a decade, he and Neil supported both  (Ph) RSI right from the outset, and had a vision to support developing our own platform in-house at a time it was common to do so. I'm grateful for the trust and confidence of the board I’m honored to the RSI during this time of tremendous growth for both our company and the industry. I'm further excited about all the prospects of what it has RSI not only an iCasino and online sports wagering, but also into new and expanded product verticals. I have several key topics I would like to cover today. First, I will highlight another quarter of record revenues and the raising of our full-year revenue guidance. Next, I will give an update on our market access initiatives and some exciting recent developments. Then I will talk about our operational and marketing excellence. And finally, I will walkthrough product and technology rollouts that are helping to drive our differentiated user experience before handing it over to Kyle to dive deeper into our financials. Turning to our results, our team delivered another solid quarter of year-over-year and sequential revenue growth, demonstrating our continued ability to grow the top-line while prudently investing in marketing and technology needed to do so. Revenue was 122.8 million during the quarter, representing a year-over-year increase of 89%. Just as impressive as our overall revenue growth was about in that growth. Not only do we grow casino revenue sequentially during the period, but also sportsbook revenues despite lighter sports calendar. With this continued success and growth in our business, we are once again raising our guidance. We now expect our 2021 full-year guidance to be between 455 million and 495 million implying 72% year-over-year top-line growth at the midpoint. This is up from the previous estimated revenue growth of 65% at the midpoint of our prior guidance range. Kyle will provide some additional details in his remarks. In terms of market loss during the second quarter, we went live in West Virginia with our BetRivers online casino. This is on the heels of successful launches in Michigan, Virginia and Iowa during quarter one. We now operate in 11 jurisdictions, eight that have online sports betting, five with retail sports betting, four of online casino and Columbia with both online casino and sports betting. Following the launch in several new states during the first half of the year. And since our last earnings update. We have continued to make significant progress in our market access initiative. To start, we are very excited to announce earlier this afternoon that we have been selected by the Connecticut Lottery to be very exclusive sports betting partner, making RSI one of only three sportsbook operators who will be authorized to operate in the states. This partnership will be inclusive of not only the operation of up to 15 retail sportsbook locations across the state of Connecticut, but also a statewide mobile sportsbook. The selection will be very significant milestone for us as a validated strength of our product, services, and overarching organization in what was a very competitive process. In fact, the Connecticut Lottery has disclose that we were selected from a pool of 15 other high quality competitors. Although the state is currently working to finalize the sports betting regulations, we expect to launch Connecticut this fall during football season. It is also worth noting that we believe our recognition for operational excellence by the Connecticut Lottery will open future doors to compete for opportunities and other lottery markets. As many of you are also aware, New York has recently accepted bids from local sports betting. And on Monday of this week, we formally submitted our bid as part of the process. We are excited about the opportunity to offer our online sportsbook in the state of New York. We also recently applied for a mobile sports betting license in Arizona alongside our partner there. Kind of looking forward to the opportunity to launch the market during the NFL season. Another side development in yesterday's announcement was with Boom Entertainment. In addition to a minor equity investment in Boom, we have gained market access opportunities in Louisiana, Mississippi and New Mexico for both sports and casino subjects to legislation and licensing approvals. Louisiana has the most eminent opportunity as enabling legislation passed in June and should go live soon after mobile sports betting regulations are finalized. Lastly, we are continuing to plan our market entry into Ontario which has an open market access structure and we are moving ahead with both casino and sportsbook. The RSI team has fantastic experience relationships in that province and we are really excited about the opportunity given the size of the Ontario market. As you can see, we have no shortage of near-term opportunities and expected state launches coming over the next couple of quarters. And our business development team is hard at work to continue the strong momentum to secure partnerships in many new jurisdictions. We also continue to be very encouraged by the legislative momentum for online sports betting and the addition of online casinos in many states already have approved sports betting. It has become very clear we are looking at the numbers in New Jersey, Pennsylvania and Michigan that online casino is a greater generator of cash revenue, and many state legislators are recognizing this opportunity. And now I want to turn some specific highlights from the quarter and exciting trends we are seeing. As I mentioned previously, we grew both online sports betting and online casinos sequentially from quarter one to quarter two, including in each of our newly launched markets of Michigan, Virginia, Iowa and West Virginia. Thus far into Q3, each of these states are continuing to see growth with our per day net revenue trending higher quarter-over-quarter. In Michigan, which is a highly competitive market and West Virginia, where we have entered a little later than some of our peers, we assume a nice progression of market share gains since launch. In fact, we grew our market share in West Virginia, from 2.6% when we first entered the market in April to over 8% despite strong competition. This is just for evidence once we introduce new players to the diverse platform, and our superior user experience we are able to win them over and retain the loyalty. I also think it is important to point out that we are now profitable in four of our markets. We talked a lot about marketing investments, payback period, and the retention of our customers. That positive contribution is strong evidence as markets continue to mature we can and we will drive strong profitability overtime. As I discussed earlier, there are plenty of new markets to invest in over the coming quarters, which would put us in investment mode for the time being. But we are proud of our ability to be disciplined and calculated in the way we invest and ultimately generate substantial profitability from markets as they mature. Now I would like to switch gears talking about some marketing initiatives, investments and the results we are seeing from them. First, I would like to highlight very exciting partnership that we announced earlier this week with NFL legend Mike Ditka. We couldn't be more excited to have Mr. Ditka on our team, as a BetRivers brand ambassador, and look forward to working alongside him and our other ambassadors to create new and exciting content for our players to enjoy. From a marketing spend perspective, after going public, we accelerated our spend significantly in Q1, which was impacted by investments in Newsday launches, particularly in Michigan. In Q2, our spend is decreased modestly compared to the first quarter. As the sports calendar was a little lighter and we found ways to target our marketing spend more efficiently. As we had hinges with offseason and leading up to what we expect to be several notable state launches later this year and into early 2022, we expect our marketing spend to increase again, as we see a lot of opportunities to add players to the platform. Our go-to-market effectively is critical to our success. We remain a data driven organization using dynamic learnings and analytics to acquire, convert, retain and reengage customers. Real time insights from our business intelligence team allow us to continuously optimize a marketing spend based on the return on investment focus model. This model considers a variety of factors including the product offered in the jurisdiction, the performance of diversified marketing channels, predicted lifetime value, marginal costs, and expenses and behavior of customers across various product offerings. When it comes to the efficiency of our marketing, we continue to see great results to serve an average payback period of six-months for all of our cohorts since inception, with one-year and three-year payback four times, and nearly 5.5 times respectively. A marketing sender in the first half of the year was 33% of our revenue, further demonstrating our ability to convert marketing investment dollars into top-line revenue. Given the strong results, we are willing and able to increase the time period over which our cohorts pay back that will only do so prudently, and with an eye towards long-term profitability. These marketing efforts continue to pay off in terms of attracting new players as our Monthly Active Users, or MAUs we are up 128% year-on-year, or average revenue per MAU was up 25% sequentially to $377 during the quarter. Shifting gears a bit. I also want to take a moment to congratulate all the employees at Rush Street Interactive for being named customer service operator of the year, casino operator of the year and social gaming operator of the year 2021 EGR North America Awards. EGR is a highly special organization of - excellence in the industry and recognizing leading operators. These awards as voted on by industry experts are a testament to the efforts of the whole RSI team, and a further recognition of our industry leading player experience. Now for my favorite topics, product and technology. It has been quiet a busy quarter for technology perspective here at RSI as we continue to strive to offer a best-in-class user experience. Our customers are loving many of the new features and content that was on live in recent updates. For example, in the casino category, we see a very strong early response to our live viewer offering in Michigan. The live viewer already offered in Jersey and Pennsylvania, we expect the priority drive similar excitement of most players in Michigan. In fact, live viewer represents over one-third of last choice handle in New Jersey, Pennsylvania. And we believe Michigan will trend towards similar results overtime. We are also excited to see the really out of slot - feature in our casino markets. In addition to those features, we have launched several exciting new titles during the quarter with the biggest game All Aboard Dynamite Dash in New Jersey, Pennsylvania and Michigan. A very successful land based game that was brought online. We also won IGT's mega jackpot games in New Jersey, and both AGS' red sells the size of the games endless treasure in Pennsylvania. Finally, in Michigan new line of federal Canonic games, including China Soars, Dragons  Solstice Celebration. On the sports wagering front, we have added a wide array of new functionality to enhance our user experience, including a live match clock, live for update, embedded betting chips, a staff center, enhanced players search capabilities, improved in-app game streaming capabilities and a greater volume of streams content. We also doubled our in activity logoff period saving over 200,000 logins and reclogging in month, further reducing higher production. These improvements are all incremental to those made in Q1, where we improve site navigation, usability and performance with less reloading and dramatically sorting transition times between screens. Looking forward, we are on-track to launch our single game parlay product ahead of football season, which we expect to be very well received by our player base. A recent partnership I want to mention here as it relates to enhanced online sports content is the GPG for best-in-class iSport Genius product which is now live in every state where RSI operates in mobile sportsbook. We are very excited to partner with GPG in bringing closer to of customer education sports data insights to our betters. With facts covering all major sports including the NBA, MLB, NFL, PGA, NHL, UFC and NASCAR. Speaking of our sports betting improvement,  recently released their sportsbook app ranking. And our new  app moved up two and was rated number four out of 41 brands tested. Validating from a respective and independent source that the improved functionality user experience described in our app is real. As we continue to launch the new sports betting markets we are excited to see the reception from first time bet revenues users when they experience our significantly upgraded app in conjunction with new features and our award winning customer service. As previously shared, we also remain committed to launching our combined sportsbook and iCasino iOS app in Pennsylvania and Michigan in the back half of 2021. While we have seen significant success in both markets and iOS app in these two markets, in addition to existing desktop, mobile web, and Android app options, will help expand our reach to additional players. With that, I will turn the call over to Kyle.
Kyle Sauers: Thanks. As Richard mentioned, second quarter revenue was 122.8 million an increase of 89% year-over-year, and the adjusted EBITDA loss for the second quarter of 2021 was 6.6 million, which is less than half of the loss in the first quarter despite the sequential revenue growth this quarter. Our adjusted advertising and promotions expense was 36.9 million during the second quarter of 2021 compared to 7.4 million in the prior year quarter, and 40.5 million during the first quarter of 2021. This reflects our year-over-year commitment to accelerating our marketing expense to take advantage of strong returns, but also our rational approach to ensuring we put our marketing investments to good use. We expect marketing investments to increase into the third and fourth quarters as we enter the football season and execute on the expected launches in new markets that Richard referred to earlier. Our G&A grew modestly from Q1 to Q2 moving up to eight million from 7.6 million. We continue to build out our development teams and corporate infrastructure to support the substantial growth we are expecting over the coming years. We expect this line item to continue to grow in the coming quarters. As a reminder, our adjusted EBITDA for the quarter removes the effects of share based compensation which was 4.7 million during the second quarter. While our year-to-date results remove the effects of share based compensation, the change in fair value of earn-outs interest liability and the change in fair value of outstanding warrants which were all redeemed or expired during the first quarter of this year. We continue to be in great position with 361 million in cash on the balance sheet and no debt. This allows us to continue to increase our investments marketing, launch and new markets quickly and remain opportunistic with regard to external investment opportunities. As Richard highlighted earlier, we are increasing our 2021 revenue guidance for the full-year to be between 465 million and 495 million up from our prior rains or 440 million to 480 million. The service range implied 72% year-over-year top-line growth at the midpoint, which is up from our year-over-year revenue growth at 65% that we were expecting on our last call. We are seeing strong results across the business and this increase reflects our confidence and the continued strong trends we have been seeing so far during 2021. We have talked about many new market opportunities that are hopefully opening up later this year, but just as a reminder, our guidance does not include any contributions from markets that aren't live as of today. With that operator, please open the line for questions.
Operator: Thank you.  The first question is from the line of Bernie McTernan with Needham. You may proceed.
Bernie McTernan: Richard, I'm sure there won't be a huge deviation from the playbook with - what you guys are running now. But are there any maybe one or two key priorities that you can lay out that you will be focusing on over the next six to 12-months?
Richard Schwartz: I appreciate it. Thank you. Our focus is really going to continue to be on innovation and differentiation. We are investing a lot more resources as we grow to ensure that we stay ahead of the curve. As we continue to offer the user experience the players deserve. We are also planning to diversify our business as well in terms of bringing some additional product verticals into the industry. Obviously, we are strong in casinos sports betting also other product categories that are of interest to us that we are going to be looking at. And I think you also see us continue to make sure that we have market access in the markets that matter and to be able to be ready to enter those markets when they are first available. But I would say we are going to continue to be prudent with our marketing spend and continue with this path in the future we think it has worked really well for us in the past.
Bernie McTernan: If I can just follow-up on that market access point, you mentioned in your prepared remarks that many states are recognizing the opportunity for iGaming, it certainly makes a lot of sense from what we are seeing on the per capita side. But is there anything that you are seeing that gets you know things greater momentum is happening behind the scenes for legislation and how we should think about iGaming legislation in 2022?
Richard Schwartz: Well, every time, every month, when I say reports the revenues and you see the markets where you have casino and sports like Illinois, sorry, excuse me, like Michigan, New Jersey, Pennsylvania. You will see that nearly 25% or more of the revenues are coming from casino, which really does convey the strength of that opportunity to raise incremental revenues for future states. Having said in terms of specific examples, Indiana, Illinois or two markets that come to mind are the ones that are so ambitious universal reported, the online companies are lobbying for. And the states are recognizing the opportunity to increase revenues from the online gaming business. And frankly, adding casino games is not a big challenging way to increase revenues in a market or in a state. So we also are hearing about other states like Georgia, Alabama, North Carolina have potential interest as well. But I would say that it is something that we are tracking very closely, but don't have a particular stronger insight on that as we speak to you today.
Bernie McTernan: Great. And then just lastly for me. Could you just review the relationship that you have with Rush Street Gaming and can you remind us, if you have access to their customer data to be able to target iGaming and OSB customers and if so, how helpful that has been?
Richard Schwartz: Sure. We are supplier to an RSG, Rush Street Gaming land based casinos is four of them. One in Schenectady, one in Illinois and two in Pennsylvania. We are the supplier of retail sports for services and help support the operational support of their sportsbooks. We also support supply them with a social gaming product. And when it comes to the online gaming, we operate or run, besides on their behalf in a way that is described previously. In terms of databases, yes, we are able to leverage in collaboration with those properties and I think certainly helps to ensure that we have the omni-channel strategy working well. And we have seen a lot of success and be able to really approach online genius and the understanding of the land based casino we were able to drive traffic and land based properties online, but also reciprocate that bring your mind back around based property which says bring greater loyalty to the brand, both online and in retail environments.
Bernie McTernan: Great, thank you. I appreciate you taking the questions.
Richard Schwartz: I appreciate it, thank you too, you are welcome.
Operator: Your next question comes from the line of David Katz with Jefferies. You may proceed.
David Katz: I wanted to just talk about content capabilities and just your updated thoughts with respect which of those as you go forward and how you think about developing and providing capabilities that you have developed yourselves versus, B2B providers or tuck-ins et cetera and, how you think about whether build, buy or  the ultimate customer?
Richard Schwartz: Sure, I'm really passionate about, because I certainly understand the desire to always have world-class products. And what I have seen many times in the past together in the past as industries that you might buy something, but may not be world-class. And so you put off using leveraging world-class products and then only something yourself or maybe three or in some ways to what's available. So that is always a challenge that we look at, and what I would tell you is that in our DNA, the company, we are unique in our space. Most of our competitors, our industry, or really either marketing firms, or IT companies that leverage third-party solutions. Our G&A is a gaming company, we know how to build experiences, in order manufacturer fun, that is a challenging thing to do, because you have to have your own technology stack, like we do an engineering team of very talented and actually know the insights on what to build and executed on the right way. And so I have something that we have done, we have got a couple of our own games in the past in casino categories and blackjack and they happen to be the strongest performing games that we had in the New Jersey market. We have been with us for years. We are plan to do some additional development in the future. But we really have the core strategy is not to always feel like we have to create everything ourselves. But to take really high quality and low cost products from our partners and add our own spin on top of it. Because we have to know how and the resources and the technology and how we are able to take things that exists and build our own layer of innovation on top of them to create experiences that are unique, that a player playing those games are different site won't have the same experience playing. So we will continue to do that because that really differentiates the way we treat our players and experience to game when they play with us. So while we are looking for some tucking opportunities and all we will be evaluating ways to enhance content, we do continue to feel like that resource effort is really on taking really high quality, proven content and adding our own layer - middle layer of innovation on top of it that create a strength that is unique for players.
David Katz: If I may follow that up, because I think you sort of ended that in the direction I was hoping to go, which is obviously happening around you very recently. And some pretty big deals and acquisitions and big getting bigger. And is it always a content differentiation and an execution that is going to separate you or at some point, that size matter, and how you are thinking about that, particularly in the past two weeks.
Richard Schwartz: If you look at the user experience, size matters more in the product categories like poker or daily fantasy, we have a liquidity where the larger volume of players you have on a single site creates a lock in effect that makes it harder to compete. In a market like casino sports betting which is the majority of the revenue being generated in the online U.S. markets. The player experience, we really get impacted whether you have five players on site or 5 million players. So our focus is to continue to offer the best user experience and it is players are going to notice the way to treat it, the approach that you provide them or not greater transparency and honesty. And the unique features you offered other sides don't offer give players a reason to stay with you. So I think that, if we continue focusing on we do really well, our products will continue to mature and improve, our user experience will advance. And if we continue to have an award winning customer service to make sure players feel like we care, and that we are treating them with respect, and a high quality way. We feel like we are going to continue to grow as we have been growing, because of those qualities. So we don't think you have to buy your way to market share. So we are always looking at options and exploring every angle possible. And by the moments, we continue to feel like the best course of action is to continue to do what we have done so far, which is to focus on the user experience and differentiating it.
David Katz: Okay. Thank you.
Operator: Thank you Mr. Katz. The next question is from the line of Ryan Sigdahl of Craig-Hallum. You may proceed.
Ryan Sigdahl: You mentioned four states are profitable. Are you able to name which four those are?
Kyle Sauers: This is Kyle. Thanks for the question, Ryan. I'm not going to go into this state-by-state, we did want to highlight that as an example of how when markets mature, we do get to profitability. So you can read into that a little bit about which markets we have been in a little bit longer. We did specifically talk about New Jersey a couple of months ago, being profitable for the full-year 2020 and that is one of those states. But I think I will stop sort of going state-by-state and talking about the profitability. But we thought it was instructive to make sure that you guys understand that we are getting profitable as markets mature. For sure, as new markets launch, and we have got no shortage of those coming up in the next couple of quarters here. There will be investments involved in launching those new markets. And that a lot of weigh those profitability we see in those more mature markets. But we are excited about that opportunity. No question around that.
Ryan Sigdahl: And then one more for you just thinking about external marketing spend. I know you said increase back half. We are hearing some pretty aggressive plans from some of your competitors. Anyway, you can put any guideposts around that either relative to the first half or percent of revenue or anything to help us out there?
Kyle Sauers: Trying to be a little bit without guidance specifically and we see those competitors as well. And as we talked about marketing spend decrease a little bit from the first quarter, the second quarter, which really is by more reflective of the wider sports calendar, getting past the new market launch in Michigan. But we expect a pretty significant step up and spend in Q3 and Q4 going into football season. And then also kind of depending on the timing of new markets, the launched in the back half of the year that Richard highlighted on the call. The timing of when those launch are going to impact whether that spends bigger in Q3 or Q4. But any of that we said, on the last few calls, that we are willing to extend our payback metrics, we think we are seeing good returns from that sense. So the investments will be strong in the back half of the year.
Ryan Sigdahl: Great, great to see Connecticut licensed there. Any way you can quantify it and your expectations for whether it is GGR, between retail online, as well as any general commentary on profitability potential in the state?
Kyle Sauers: It is probably too early to start talking about expectations for GGR and market share in the state. I think it was in terms of economics, that it was a competitive process, as everyone knows, and we feel very proud that we were the ones selected in that very competitive process. But we feel good about the economics there. And, any good reflects just how big the opportunity is in the state of Connecticut, particularly with limited free operators. And also in a state where we will have 15 retail locations, where we had a lot of proven success. I would say, like, many of our market access agreements, there is nuances around minimum guarantees, how those minimum guarantees or commitments ramp up. The credits you can take against taxes or partner revenue shares for things like marketing and promotions. And the terms of agreement with the state lottery haven't been disclosed. But you can even imagine we entered this partnership with a plan bodes well for the state of Connecticut in for RSI.
Ryan Sigdahl: Great. Thanks guys. Good luck.
Kyle Sauers: Thank Ryan.
Operator: Thank you Mr. Sigdahl. The next question is from the line of Chad Beynon with Macquarie. You may proceed.
Chad Beynon: Hi good afternoon Greg, Richard, Kyle, thanks for taking my question. I wanted to revisit your guidance. Can you just kind of help us think about, how you are viewing seasonality of online casino? I know, within the guidance, you said that you are not expecting any new launches. And obviously, some of the recent launches will contribute more in the back half year. But as the average person goes back to work are you expecting any sequential declines in terms of just player behaviors? Thanks.
Kyle Sauers: Sure, so there is obviously a few different things that will go into thinking about that guidance and they can cause it to vary from high-end to low-end. And one of those things would be old percentage and I point out that we were at a little benefit from home in Q2, not quite as much as we did in Q1 where we also had a little bit of benefit. On the seasonality I think you are right that in casino which is a larger portion of our revenue mix. We don't have as much seasonality, like you do in online stores, because of the calendar there. But we do have some model seasonality, and we expect to probably to be some impact on that in Q3 and casino, and then pick back up a little bit in Q4. And then as I said, on the sport side, seasonal impact is greater in Q3 until we get to Q4 heading into football season where we will see that pick up again. So we are obviously pretty excited about football season here in a few weeks, which we will potentially help the end of Q3. And then I guess the last thing is, as you said, and just to remind everyone that we don't have included in our guidance, any of these new state launches that will happen here in the coming months and quarters.
Chad Beynon: Great. Thanks. And then on Slide 12 in your deck, you noted the strong player retention in the cohorts in terms of when people came into your system, which is pretty impressive. And you talked about, lower, doing this with lower promotional credits. Are those older credits sticking around as you continue to reduce the promos? Could you shed a little light on that or is there a level where that needs to set a foundation to retain those letters? Thank you.
Kyle Sauers: Maybe just to clarify your question, are you asking if promotions need to remain at higher levels with players that have been on the platform longer or does that - the level of promotional activities dissipate overtime?
Chad Beynon: Yes, please.
Kyle Sauers: Yes, I think that is a fair. You definitely see more promotional activity in the early stages of a market launching, and also in the early stages of bringing customers on a platform. But as Richard talks about frequently, we have great retention, because of great user experience and great customer service. So that promotional activity does not need to sustain that those levels, as markets mature and as our players mature on the platform.
Richard Schwartz: We are also very targeted where we feel we do a nice job of ensuring that we want to close on a platform for while you are treating the players that are most valuable. The right way of targeting them with the appropriate amount of -. So you may not have to bonus to all players at the same levels as you might when they start with you.
Chad Beynon: Thank you very much.
Kyle Sauers: Thanks for the questions.
Operator: Thank you Mr. Beynon. The next question is from the line of Jed Kelly with Oppenheimer. You may proceed.
Unidentified Analyst: This is actually  (Ph) for Jed and Richard, congrats on the new role. With the some engagement you guys on the quarter. Have you seen a larger mix of new online casino customers as a sports calendar softens and then would you say that 2Q ARPU is driven by higher online casino mix or you are just gaining stronger wallet share costs all customers?
Kyle Sauers: So I think you are kind of hit on the head with seasonality and casino players being - having a higher RMOU in a quarter like Q2, and probably the early parts of Q3. You are going to see a higher RMOU you are going to see lower MOUs and you might see that trend in the opposite direction as we head into football season, where the reactivation of players or new player engagement increases and MOU increase more dramatically. And you might see the RMOU, reduce a bit. I think in addition to the football season having an impact there, you can also see an impact from new market launches, where you are going to see more new player attraction bringing online, likely higher growth in MOUs, and that will impact your RMOU because you are doing more promotions. You are bringing those players onto the platform, you are starting to increase the retention over time. So hopefully that gives you a little context on the ebb and flow and it is going to change over time. But I think you hit it on the head with Q2 in the way you were describing it.
Unidentified Analyst: Yes, I guess it would entail understand, are you bringing in like, a lot more casino customers? Are you seeing higher value customers across casino and sports?
Richard Schwartz: So we actually noticed in our comments that we did have sequential growth in both sports and casino. So we going both verticals nicely, but what I would say that one of the things in terms of absolute volumes, we are going to have some more of the newer markets or sports with only a higher volume versus only players arriving having said a market like Michigan, which is very large for us, does still have a more balanced items. So I think we are fairly balanced. So I don't think it is extreme one way or the other. I think it is very market-by-market, depending on the characteristics of what products are allowed.
Unidentified Analyst: That is good, thank you. And then if I can just follow-up on the  (Ph) partnership, should we think of that as a B2B, B2C revenue, or should we think about that tapping in somewhere else is not disclosed?
Richard Schwartz: No it is not a B2B relationship. It is a B2C relationship where we like other market access. We will be running the operation ourselves, obviously paying royalties and commitments to the state. As Kyle mentioned earlier, we are very excited about it because as you noted one of three offers in the market. And in particular, it plays to our strength of having these 15 retail locations spread around the state, really, most people living in Connecticut will be within a 30 minute drive from this retail sports bet. And we see that you can sign a lot of players online from retail locations like that, which we have seen in markets like Pennsylvania. So we are excited about that potential. But we will be operating the site in close coordination with a Connecticut lottery is a very efficient, very professional run our RFP process. And remember province, they really like our responsible gaming approach, like the quality of a product Award Winning Customer Service, uniqueness of our user experience, and all those things combined, I think needed a very attractive proposition for both of us.
Unidentified Analyst: Thank you guys.
Operator: Thank you Mr. Kelly. The next question is from the line of Mike Hickey with Benchmark. You may proceed.
Mike Hickey: Two questions for me. I guess the first is on the competitive landscape. I mean look at sort of some of the innovation is happening on the OSB side in that. Looking at media integration, streaming in game betting, social features. Obviously, then industry marketplace now, I guess when you think about sort of the innovation there, Larry. How important is that sort of tension and ultimate share position? And I have follow-up.
Richard Schwartz: It is a great question. Innovation and differentiation is critical. I think some companies might be little acquire traffic without brand initially, and our brand very valuable skill. If you don't offer the right user experience, you are going to not the same as players longer term, especially in a highly competitive market. So I think one of the keys is to know enough about the gambler mindset is started with the college you have players, so you understand what to build. Because you can do a lot of things that don't work, right. And so for us, it is, yes, there is trending thing about being an industry. And we certainly like to follow everything that is happening. But there is some areas where you have to find a way to implement the features in a way that players really like. And so for example, we really pioneered community in the online casino market. And we have a lot of ideas and thoughts and interest and how we are going to do something similar in the sportsbook industry, online. So I think while you mentioned, we also mentioned this call, we have some mobile player tournaments that we have been building and developing. And that is another area of innovation that we are excited about. So I think it is important, you always spend time advancing innovation, but making sure you do it in a thoughtful way with understanding of the audience. Because a lot of things that a developer might think is a good idea really won't resonate with the players was really has done his apology. And that is something that we have a large team here of folks, I really have been in industry a long time. We have a really good grasp over what works and what doesn't work. And a lot of the challenges of making sure you avoid the things that don't work and make sure you invest in things that are going to have a long-term impact on the company. So there is a couple of big things we are working on, that we are excited about and in the quarters ahead we will be going to release some of those features.
Mike Hickey: The second question is, you kind of about into it, but obviously, you are a real leader in the online casino side, I think you have probably seen first, maybe that is not true anymore, but certainly definitely started. When you look at, what we just sort of overseeing, I guess, with the innovation on layers on the sportsbook side. I mean do you expect that you have similar innovation on the online casino app. Overtime the states expand as some of the biggest sports store flips this year and see other streaming opportunities, other media integration within the casino side, or what do you think, that customer was just different? I guess maybe, I guess that is the question. Thanks guys.
Richard Schwartz: With the sportsbook, if you look at categories are surprisingly different how you build products that are viewing. In the sportsbook, it is a transaction based engine, and you have the ability to actions on the field. So it is about having the speed and ability to deliver a little things to get the insights into making better decisions and making sure that things move at a fast pace and that you offer the most fun experience to bet on it. So getting lost with the streaming is something we have invested quite a bit in. And we have one of the leading libraries of stream content we think in the market available today. And we put in our investor deck we posted this afternoon you can see some information about some of the differentiated features we have been doing on the sportsbook. And I think all those features together is really one of the reasons why recent eyes and project study indicator we moved up from like the number eight to number four in terms of products out 31 in the industry following sportsbook. But a lot of doing things that really reduce friction and enhanced trust with the player. When it comes to casino, most companies have the same library the games everybody else does. A few companies might go out and buy a game studio. We certainly now, if I'm doing entertainment earlier this week, but we are going to have exclusive games and some large quality, good quality library and games. And certainly that is helpful to have that. But at the end of the day, we think you have to manufacture fun in online casino. You have to create ways to entertain players in unexpected ways that they haven't done or experienced before. And that comes down to building your own game engines yourself. So you can offer something that is unique, there is nowhere else you can really go to go get this stuff off the shelf. It doesn't exist, when it gets to the court date games, and you want to build by why the features that we built for the real time engines and things like that. You have to really build it yourself and know how to build it. So that is an area that we focus on a lot in the past. And that is helped us propel ourselves to a leadership role in the online casino market. But we are continuing to invest in new ideas in that area. Like I said, we are excited to release some of these features later in the quarters ahead.
Mike Hickey: Awesome, thanks guys.
Operator: Thank you Mr. Hickeuy. The next question is from the line of Stephen Grambling with Goldman Sachs. Your may proceed.
Stephen Grambling: I guess the first is a follow-up. So he was talking about I think your Slide 12, you show kind of the yearly cohort. And it looks like the 2020 kind of tweaking came off in Q2. Is there anything unusual there that they think through or is there anything else you can highlight in terms of why that that kind of cohort looks a little bit different than 2019 or 2016 to 2018 cohorts?
Kyle Sauers: Yes, I think the one thing I caught there is just the launch of Illinois in 2020, and the sports calendar impact on Illinois sports betting in Q2. So, I think that would be the one thing that I mentioned that probably impacts that a little bit differently.
Stephen Grambling: Got it. And then maybe changing gears, how does the process in Connecticut and the outcome there inform how you think about your strategies try to  over there?
Richard Schwartz: We don't think it really informed it very much, because each state has a different decision making process in different assets think considering what was the winning spend or winning RFP submission in case of Connecticut. When it comes to New York, we obviously have submitted a response to a request for application by us Gaming Commission. And we are excited by the opportunity to compete in that market. We haven't really planned to share much on the specifics of that bid, on the basis that the Newer games in terms of procurement process is still ongoing and we certainly are going to wait for direction from them before we will announce next steps there. But we truly think I do think stronger northeast though we certainly think it is helpful.
Stephen Grambling: Got it. And I know that you touched on this a little bit before but I'm just want to make sure I understand correctly. I guess, how do you generally think about quantifying  maybe like maintenance marketing for customers that you have already acquired that need to kind of keep engaged? Thanks.
Richard Schwartz: Yes, so we have seen that when you market to those players that are lapsed. You have a really nice chance of reengaging. We have seen over the last couple quarters as we have ramped up marketing spend compared to where we were before we were a public company that you do get those benefits of reaching those players and maybe we are happy with you at some point for whatever reason sort of has stopped being an active player. You get a chance to re invigorated that express player getting back to us certainly feel very confident that the players have had a positive trends with us, but certain reason they decided to no longer remain active. So certainly as you increase your marketing spend as we have been doing. You have an opportunity to re engage players that perhaps have taken a break from using your site for whatever reason, and have a chance to engage. And I think that is one of the benefits of increased marketing spend that we are seeing, is that, it does give us a chance to reconnect with players that maybe publishers enough at some point for whatever reason I stopped playing with us and now we have a chance to regain their loyalty.
Stephen Grambling: Okay. Thanks so much.
Operator: Thanks you Mr. Grambling. There are no additional questions at this time. I would like to pass it off to Richard Schwartz, CEO for any additional remarks.
Richard Schwartz: Well, thank you for all the great questions. I'm excited to be taking the CEO role of this incredibly exciting time for Rush Street Interactive. No time in my history of RSI, have I been more excited about how we are positioned to succeed in this rapidly evolving growing market. We have proven that we are market access partner of choice and expect you to view ads or list of locations where we have already found market access partners. We have a proven operating model with fantastic player experience and retention, strong marketing returns and ultimately profitability as proving out in maturing markets. Lastly, as a few questions here raised today indicated. We are innovators, we are continuing to create experiences to keep returning back for our platform for the engaging a world-class experience we offer. We have proprietary technology that accelerates the development of exciting new features. While at the same time allowing speed and market and strong integrations with world-class partners. Thank you again for joining us today, it was pleasure speaking to you. We look forward to doing so again soon.
Operator: Thank you for joining today's RSI second quarter 2021 conference call. You may now disconnect your lines and have a lovely day.